Operator: Hello, everyone. Thank you for joining us, and welcome to the DoorDash Q4 2025 Earnings Call. [Operator Instructions]. I will now hand the call over to Weston Twigg. Please go ahead.
Weston Twigg: All right. Thanks, Elizabeth. Good afternoon, everyone, and thanks for joining us for our Q4 2025 earnings call. I'm pleased to be joined today by Co-Founder, Chair and CEO, Tony Xu; and CFO, Ravi Inukonda. We'll be making forward-looking statements during today's call, including, without limitation, our expectations for our business, financial position, operating performance, profitability, our guidance, strategies, capital allocation approach and the broader economic environment. Forward-looking statements are subject to risks and uncertainties that could cause actual results to differ materially from those described. Many of these uncertainties are described in our SEC filings, including our most recent Form 10-K and 10-Q. You should not rely on forward-looking statements as predictions of future events or performance. We disclaim any obligation to update any forward-looking statements, except as required by law. During this call, we will discuss certain non-GAAP financial measures. Information regarding our non-GAAP financial measures, including a reconciliation of such non-GAAP measures to the most directly comparable GAAP financial measures may be found in our earnings release, which is available on our Investor Relations website at ir.doordash.com. A non-GAAP measures should be considered in addition to our GAAP results and are not intended to be a substitute for our GAAP results. Finally, this call is being audio webcasted on our Investor Relations website. An audio replay of the call will be available on our website shortly after the call. Operator, I'll pass it back to you, and we can take our first question.
Operator: [Operator Instructions] Your first question comes from the line of Shweta Khajuria with Wolfe Research.
Shweta Khajuria: Let me try 2, please. One is on competitive intensity globally and specifically in Europe, if you're seeing anything different, and if so, it hasn't been rising. And then second is on investments. This may be for Ravi, how should we be thinking, there's a lot of maybe debate that's going on in terms of the level of investments not only in 2026, but to the degree that it may continue into 2027, especially as it relates to tech replatform. So could you please, Ravi, help us think through how we should think about it? Is it a onetime in '26 or should we expect some elevated level of spend in '27 too because it could bleed into next year?
Tony Xu: Shweta, I'll start by talking about Europe. Overall, we feel really great about our position in Europe. We're the leading player in many of the countries in that continent. And we're off to a really great start with our Deliveroo acquisition. With respect to Deliveroo, we are growing much faster at the same profit contribution that we expected before the acquisition. We're gaining share in its largest markets. We're doing the same on the Wolt side. And so when I overall look at our business outside of the U.S., what I see is faster growth than what we see in the U.S., which, by the way, the U.S. had 2 of the fastest-growing quarters in 2025 in the last 4 years. So to trump that is actually quite impressive. And we're continuing to improve our unit economics across the board. So I feel really strong about our position overseas.
Ravi Inukonda: Shweta, on your second point, right, I'll make a couple of points. One, my expectation for the full year EBITDA for '26 has not changed since the last call. The way I think about it is 2026 EBITDA margin is going to be up slightly compared to 2025, excluding ROO and ROO to produce about $200 million of EBITDA, like we said. So that remains very consistent. Look, as we're thinking about investing, there's 3 major part of investing that we called out. The quantum of investment dollars is also very similar to what I had expected at the time of the last call. One of the major areas of spend, as you called out, is our global tech stack. Look, we're happy with the progress. We're making good progress there. There are components of that spend that are redundant, especially as we take on the cost of running both tech stacks in parallel. Majority of that should be in '26, some of that will be in '27, which will come off, but that's a smaller component of the overall spend. The other two areas are -- both autonomy as well as merchant services. We are expanding both of those areas, we are investing. We like what we are seeing there. And in fact, I mean, if we continue to make more progress from a customer benefit perspective, our goal is to continue to invest more. Look, I mean, our goal has always been to maximize long-term free cash flow. We believe these investments are the right investments, especially as we think about becoming the operating system for local commerce. As we make more progress, we'll continue to invest behind them because ultimately, they lead to more areas where we can invest behind as well as improve overall free cash flow generation.
Operator: Your next question comes from the line of Michael Morton with MoffettNathanson.
Michael Morton: Maybe one for Tony to start. In the press release, you talked about investing to support growth in longer distance and higher effort deliveries. I was wondering if you could provide some more details on what type of deliveries those are related to? And just following up on that, like Dash has made a lot of investments in DashMart and DashLink. And Tony, I'd love to hear maybe if it's related to that longer distant investment, but how you see the e-commerce landscape evolving? Do you expect to see local inventory worked more into the kind of consumer shopping experiences? And anything around that would be great. And then maybe a quick one for Ravi. I love the commentary on the inflection in unit economics for your new verticals business. Could you speak a little bit about some of the drivers of that improvement? Is it scale and also may be less investment requirement? Anything in that would be great, too.
Tony Xu: Yes, I'll start. On the question with respect to Dashers and the evolution around what DoorDash is doing in the world of commerce, I mean, I think Ravi kind of touched nicely about this on the previous question about how we're building the operating system for local commerce. And so I'll maybe take a couple of minutes to expand upon that a little bit, and then I'll answer directly to your question about how Dashers and frankly, some of our other audiences play into this broader ecosystem. When I think about like what is going to be required in order to allow all the small, medium and large physical businesses to become omnichannel businesses and compete against 1 or 2 large behemoths. It's going to require software. It's going to require warehousing and physical infrastructure. It's going to require the lowest cost of delivery at the highest quality, and it's going to require amazing software. And if you think about a lot of what we announced actually in 2025 at our Dashboard product event in September as well as the investments we're making into '26, I think they line up nicely to give you a view of what we're building. So if you think about it, we're starting by obviously building software for every small, medium and physical -- and large physical business, whether that means helping them and adding them into the DoorDash app. One of the things that we've been seeing is just continued growth across all categories at DoorDash. Now around 30% of customers are ordering outside of the restaurant category, especially as we broaden our reach into grocery, retail, where we've become the leading third-party transaction platform in the U.S., and we're growing very, very fast outside of the U.S. as well in that dimension. So we're bringing software in that dimension. We're bringing software also in the dimension of all of the B2B products we're shipping, where we're helping businesses offer delivery through their own channels. We're helping businesses also stand up their own e-commerce solutions. We're building warehouses to bring inventory closer to where consumers live. So we announced Dashmart Fulfillment Services last September. We're very excited to be partnering with companies like Kroger or CVS to really offer the highest possible quality, the perfect inventory accuracy at the lowest cost and the fastest speeds. So that they can compete and offer same hour, same-day delivery against their peers. That's something that we're doing. And we're also investing in how to do this in the future, right? And that's really our investment into autonomous vehicles where we announced DoorDash Dot as well as some other projects that we're working on in order to make sure that no physical business will be at a disadvantage when it comes to offering the best possible delivery experience at the lowest possible cost. So when you think about how Dashers kind of fit into the system, one of the things that has to be true and that is true, I mean, it's been happening throughout last year, the years before and obviously, this year and into the future is that Dashers will have more choice in terms of the types of orders they can take on. And that's why one of the investments we're making this year is actually directly into Dashers so that as they do more types of grocery retail orders, which can travel longer distances, which are usually more complicated because there's a shopping nature involved, although not always. But because of the greater complexity, we want to make sure that the pay models reflect that. We want to make sure that the app experience actually reflects that. And there's a lot that we're also doing in cataloging all of the physical information that exists nowhere on the Internet that we're also partnering with Dashers to do as well. So there's a lot of things that we're building, but we're building all of the fundamental building blocks at the end of the day to enable local commerce. So that for consumers, they can get anything inside the city delivered to them at the best possible experience at the lowest possible price.
Ravi Inukonda: Michael, on your broader question around new verticals, right, our retail and grocery business, maybe I'll zoom out and just talk about the performance and what we're seeing in that business. Look, I mean, new verticals had a really strong quarter as well as the year. We are the fastest growing in the U.S. as it relates to third-party peers. Look, today, Tony mentioned the fact that 30% of our MAUs in the U.S. order from categories outside of restaurants. And our focus has always been how do you get that 30% to be 100% over time. And what we're seeing is that we improve selection as we are investing behind making the product better, whether it's quality, affordability, more and more of our MAUs continue to order from categories outside of restaurants. In fact, the number of new consumers that join and start their journey with new verticals is also improving on a year-over-year basis. At the same time, we've been focused on improving the efficiency of the business. And look, when I look at the profitability, I mean, the team has made really good progress in unit economics year-over-year. I expect our entire retail and grocery business to be unit economic positive in the second half of the year. And look, when I look at that, I mean, it's just continued execution, right? It's a combination of steady progress that we're going to make over a bunch of different fundamentals, whether it's scale, density, continue to improve the efficiency on the logistics side, basket sizes are getting larger. There's no one thing, which is a step function change. It's continued execution, finding basis points, largely how we operate our entire business and our primary focus continues to be, hey, how do you actually get the business to scale. You know exactly what we need to do on the unit economic side. How do we get 100% of our MAUs to use grocery and retail. That's the real focus that we've had as a team.
Operator: Your next question comes from the line of Nikhil Devnani with Bernstein.
Nikhil Devnani: Tony, I wanted to ask about agentic commerce and where you see things going longer term. I think today, it's clear that Dash has very strong direct relationships with consumers. And even with where things currently stand with AI chatbot experiences, that feels well intact. But there is a debate around how this might change in an agentic future where search, discovery, transaction flows start to compress and get more automated. You might still be part of the transaction, but perhaps the economics look different is the debate. So how do you think about positioning DoorDash for that future as consumer behavior evolves. Do you want to integrate with third parties? Does it make more sense to double down on your own vertical solutions maybe you disagree with that altogether and think AI -- Agentic AI's upside as a broad premise. So just curious for any thoughts you have on that?
Tony Xu: Sure. No, I think it's a great question. And the first thing I always come to when it comes to any new technology, whether it's autonomous vehicles or agentic commerce, and kind of how that interacts with LLMs, it's really how well does it solve the end-to-end job for a customer, kind of becomes the lens in which I approach all of these things. And I actually think that maybe the best way to think about this is to look a bit through history and maybe offer you a couple of examples and then maybe work our way towards the present and think about the future. So when I think about these terrific products, whichever chat assistance that you love using or just protocols with agentic commerce that you like using, I kind of view them very much as almost like the new forms of the Googles or other large kind of top-of-funnel channels, if you will. And if you think about -- I'll give you a couple of examples from history that kind of maybe touch on your question. One is, look at what happened to product search over the 2010s. You saw over time, companies like Amazon take increasing share of product search from traditional search engines because they did the end-to-end job for customers because searching to buy an item is only one task, but perhaps reading reviews or tracking the package or returning the package or any other form of customer support are also part of the end-to-end job that you have to solve for customers. And over that decade, you saw, I think, companies like Amazon and others take increasing share when it comes to something like product search. Another example that comes to mind and maybe closer to home, is something that actually Google launched was called Google Food Ordering, which they launched in, I believe it was like 2016 or something like this, where they offer the ability for restaurants to offer delivery directly through Google Maps and other Google surfaces. And look, they drove the ton of traffic, multiple fold traffic of what DoorDash could generate to these restaurants. But when you looked at the retention and the frequency of use of that channel versus companies like DoorDash, it really was a fraction of what DoorDash could provide. Why is that? Well, because after a checkout, things can happen in the physical world. For example, a driver might be late or an item might be missing or some substitution on a spoiled carton of milk needs to be made or not the exact brand of whatever produce that a customer was looking for needs to be changed. So the end-to-end job at the end of the day, I think, is how customers will ultimately judge where they do their shopping. And at the end of the day, wherever the customers keep going back to, that's where the audiences will flow and where the audiences flow so will the advertiser budgets as well as the interest along that dimension. And so when I put all this into perspective, the historical context into where I look at DoorDash today, I think, DoorDash is really well positioned because we're actually solving the end-to-end job for a customer, which is to get them some item, brought to them in the condition they expect, on time, every time. That's actually really hard to do. You got to map the physical world, all of which that information does not exist anywhere on the Internet. That's data that DoorDash has to collect in a proprietary way. You have to actually be excellent at the execution of the operations. You have to be excellent at collecting all the metadata as well for all of these different items as well as the personalization you can perform if you actually have all of the customers and all of the customer information. And I think when you put it all together, we're going to be the best place to solve the end-to-end job for customers. And so long as we are that best place, we will also attract all of the audience and all of the advertiser dollars that comes from that audience. But look, I think with respect to how that informs our partnerships with some of these AI systems, I view them as channel partners and we'll see how much traffic they can drive in a very similar way to how companies like Facebook and Google did the same for DoorDash in the past.
Operator: Your next question comes from the line of Deepak Mathivanan with Cantor Fitzgerald.
Deepak Mathivanan: One for Tony and one for Ravi. Tony, can you talk about the strategy with the autonomous delivery platform. What do you think this platform looks like in 2 to 3 years, perhaps between first-party efforts with Dot and maybe through -- and also with some of the other third-party partnerships. And then for Ravi, can you elaborate on the reasons why the unit economics improvement in the core U.S. restaurant business will be lower this year than prior years. Is that from maybe slower advertising growth due to scale or perhaps moderation and some efficiency gains or maybe reinvestments. Can you expand on that, if you don't mind?
Tony Xu: Yes. Deepak, on autonomy you're absolutely right. That the autonomous delivery platform is probably the most valuable part of what we're building. Because the way I kind of view it is that in the future, there will be a collection of different vehicles, a fleet of different vehicles, both by land and by air, some of which we'll build inside our 4 walls and others of which we will partner. And I think the most important part is actually playing the orchestration of all of the activity and movement and the handoffs. Because it's not going to be immediately or at least not immediately obvious to me that autonomous vehicles are going to perform every single type of delivery. There are certain times where you're going to see handoffs between Dashers and AVs. At other times, you're going to see AVs perform deliveries that Dashers don't want to do. At other times, you're going to see Dashers perform deliveries that AVs are not well equipped to do. And so it's really the kind of goal for '26 then is really to figure out what are all of these different use cases. Where can we apply the most pragmatic business impact and customer impact immediately. We're doing that right now in a couple of different markets. So we actually have real live deliveries happening right now with AVs and we're very excited about the future.
Ravi Inukonda: Deepak, on the U.S. restaurant point, maybe I'll give you like a slightly broader answer. Look when I look at the performance of the U.S. restaurant business, it continues to be quite strong. In fact, in Q4, the contribution margin for the U.S. restaurant business was up on a year-over-year basis. And I do expect us to continue to improve margins in 2026. When I look at the last few years, I mean, growth has been quite strong. In fact, in '25 the restaurant business grew faster at a larger scale compared to 2024. And even when I look at the efficiency that we've driven over the last 3 or 4 years, it's been quite good. We've driven improvements in margin. Dashers costs have become more efficient, C&R has become more efficient. We've driven leverage in sales and marketing, like you called out, ads is becoming a larger portion of the overall business. And we're still continuing to invest behind that business, whether it's selection, quality, affordability. As I look ahead, I do expect us to continue to improve margins, albeit it will be at a lower pace compared to prior years. Some of that is going to come from DashPass. As you know, DashPass had a record year as well as a record quarter. DashPass is going to have an impact on margin. But look, overall, the ROI is strong because profit dollar production is going to be high. Largely because it's very simple, subscribers retain more, they order more, which means that they produce more gross profit dollars. Look, our focus has always been on overall profit dollar production, which continues to be quite strong. And when I look at the top line and the bottom line of the restaurant business, both continue to be very healthy.
Operator: Your next question comes from the line of Youssef Squali with Truist Securities.
Youssef Squali: Great. Maybe, Tony, just a question on competition again. But maybe from a grocery and perishables perspective. So as Amazon is doubling down on those categories, can you maybe talk a little bit about what you're seeing in terms of your growth within that category in Q4? And have you seen any changes in the competitive landscape so far? And then, Ravi, on the headwinds to Q1 margins, can you just help us kind of quantify the impact of the higher Dashers costs. And I know there's a seasonal effect there, but is it more seasonal this year than in prior years or is just normal seasonality?
Tony Xu: Yes, Youssef, on the first question regarding grocery. In short, no, we haven't seen an impact on our growth. In fact, we continued very high growth rates kind of as fast as we've seen in the grocery sector, not just in Q4, but also for this year as well. And I think if you think about perhaps why we continue to see fast growth. I think there are a few points. The first thing I would say is, if you think about what we're trying to create, we're trying to create a world in which there's the maximal amount of choice for what customers can get delivered. And that includes all of the grocers. There's a reason why there exists tens of thousands of supermarkets in the U.S., not just because it's a large geography, it's because the average customer does buy from a couple of different places when it comes to their groceries, whether it's buying from place A for their meat and fish, place B for their produce, place C for their pantry items, place D for some specialty items, et cetera. And I think DoorDash is a place in which you can get all of this at the best possible price and the highest quality of delivery. And so that's, I think, our angle at it where we think that in the future, so long as you believe that customers are going to want choice, and I think that can be well reasoned when you just look at the landscape of grocery and how there exists so many grocers out there, which indicates that I think, consumers prefer choice, then that will continue to be very strong interest in the DoorDash product. And then especially if you add some of the capabilities that we're adding where we're adding fulfillment services with DashMart Fulfillment Services, where we're increasing the quality and doing that for every single grocer. So that they have the capability to compete against companies like Amazon. I think that just bolsters the product offering.
Ravi Inukonda: Youssef, on your second point, I think, it was on Q1 EBITDA as well as Dashers. Look, I mean, I think there's a couple of factors in Q1. One, it's just phasing of investment, which is somewhat unique this year in the sense that we are investing in ROO. Some of that investment is front loaded. I expect Q1 EBITDA from ROO to be about $25 million lower than Q4, but the full year number is still $200 million, which stays very consistent. The second part is there was an impact because of the winter storms in January, that's roughly about $20 million. And finally, to your point, Dashers has been very seasonal, right? Like we saw seasonal impact of Dashers in Q1, every single year over the last several years, 2023, '24, '25. '26, I would expect it to be very similar. But your second point around your broader Dasher. I mean, Dasher trends are fairly consistent with what we've seen in years prior, when I look at Dashers cost as a percentage of GOV, we generated leverage in Q4 on a year-over-year basis and I expect us to continue to generate some leverage in Q1 as well when I look at it as a percentage of GOV on a year-over-year basis.
Operator: Your next question comes from the line of Josh Beck with Raymond James.
Josh Beck: Yes. I wanted to ask, I know it's only been maybe about 5 months since you've closed Deliveroo. Have there been any standout learnings when you think about the loyalty program or the fulfillment network or merchant terms. Just anything that has really jumped out to you as an opportunity area to lean in towards and then on the platform modernization, I know, it's arguably very early there as well. But anything you can update us on in terms of maybe some of the efficiencies that you're expecting to gain and maybe how that could either accelerate velocity or maybe free up investments elsewhere? Just would really like updates on those topics.
Tony Xu: Sure. Josh, it's Tony. I'll maybe take a crack at both questions, and feel free to jump in, Ravi. On Deliveroo, I think to kind of echo what we said on the call so far, it's just been a great start. I mean, like I think the numbers and the performance speaks for itself, whenever you're growing faster at the same budget, and you see more room for upside. I think that's always a great place to start. With respect to opportunities to improve, yes, I agree. There's a ton of things we kind of have identified. I think we'll be able to ship many things, this -- I mean, frankly, this quarter to be able to improve. And it's really just across the board. I mean, when I look at these kinds of businesses, it's really a bunch of small things that add up to make the difference. There's never like one glaring huge thing because usually when there is that's a very -- actually quite simple fix. It's usually the combined sum of lots of small things that compound that ultimately is what allows us to offer surplus to customers or a deficit and fail at delivering what the customers want. And so we see opportunity pretty much across the board and we're shipping things literally every single day to improve them. So we've already seen benefits from things that we've taken from our lessons learned at building DoorDash, at acquiring Wolt and have shipped those to our audiences over Deliveroo to see improvements in all of the audiences. On the second question with respect to the tech platform, you're completely right in the high -- in the kind of premise of the question where I believe right now, if you think about our setup, it's really not ideal. We have -- we operate on 3 tech platforms, pretty much a very similar business. And that -- what does that mean? That means that you're going to be slowed down because in order to ship one feature, you have to ship that 3x in slightly different [ tool calls ] and kind of processes that make no sense. And so what we're doing is we're making this pretty big investment in order to both improve the velocity in which we ship as kind of -- to clear out some of the inefficiencies that I described and also just be more efficient with our global footprint, right? And I think we'll be able to do both of those things as a result of building this tech platform. But I think above all else, actually, we've already seen this kind of play out nicely in the 4 months that we've worked together with Deliveroo where -- when we do ship something that has worked in the U.S. for us, or in another part of Europe with Wolt to Deliveroo, it has added immediate impact to the customer audience. And we see hundreds of those opportunities in the platform work that we're doing, moving everyone into the single tech stack that I think customers across all audiences will benefit.
Operator: Your next question comes from the line of Eric Sheridan with Goldman Sachs.
Eric Sheridan: With respect to DashPass, how does that fit within your broader strategic priorities? And when you think about growth investments in the business in terms of incenting DashPass adoption more broadly across your markets? And then in terms of DashPass adoption, how do you think about that as a potential stimulant for order frequency when you think about cohort evolution looking out over the next 12 to 18 months?
Tony Xu: Eric, it's Tony -- maybe start on DashPass, and feel free to add in, Ravi. I mean DashPass is critical to our business. If you look at this program, it's a program that we started at the end of 2017, really shifted in 2018, and it's continued to be the core driver of our relationship with consumers. And I think it's grown in leaps and bounds, not just in some of the numbers that we've reported, but also in terms of the benefits that we're starting to ship to customers. And our goal right -- with DashPass is to continue to increase the number of benefits in which we can offer. And we think there's a lot to do. For example, a lot of the benefits that you've seen recently has occurred as we've launched all of our non-restaurant categories, right? We are effectively charging the same fee for DashPass. We're adding even more value to get discounted or preferential pricing delivery for more complicated deliveries in retail and grocery and more valued discounts on key value items, things like this. Another potential area that we see a ton of opportunity is all of the work that we're doing with our in-store business. We announced our in-store business in '25 during the September dashboard product event, where we're starting to drive traffic inside the restaurants now with our 56 million MAUs or over 100 million annual customers and offering them either access or value to restaurants that they couldn't get otherwise if they were not members. And so I think the DashPass ecosystem has a long runway ahead of it. And if I kind of take a step back and kind of just think about that in quantitative terms, right now, the average DashPass customer might be interacting with us a couple of times a week or something like that. But when I think about the number of eating occasions, there are 20 to 25. And then when I add in the shopping occasions on top of food consumption, it exceeds 20 to 25. So I think we're a fraction or a single-digit percentage of what DashPass could actually achieve. So there's a lot of work to drive frequency, but that starts with adding more use cases to add more value.
Operator: Your next question comes from the line of Ross Sandler with Barclays.
Ross Sandler: Yes. I just wanted to have two. Can we get an update on the Storefront software business and how SevenRooms and kind of the CRM part of it might be kind of accelerating the efforts on that side. And then back to the replatforming, you guys have done a nice job of laying out how all these components are coming together. Just a question on timing. So clearly, this will benefit both like speed of new features being rolled out and potentially expanding products or geos. When we kind of see the benefits starting to show up? Is this going to be like a continuous thing in '26 onwards? Or is it more kind of like after this year? Just any thoughts on the timing?
Tony Xu: Yes. I can start. So on first question with respect to Storefront and software in general. It's going really well. I mean, like if you look at the integration of SevenRooms, that also has been a relatively newer project for us, about 6 months in partnership with the SevenRooms team. And already, we've been able to tremendously speed up their work. I mean, they're now adding venues 50% faster post-acquisition than before we partnered with them. And if you think about like if we step back and think about the thesis, it's kind of proving the thesis that if you can add the best-in-class CRM software with the largest demand generator platform, which is DoorDash, it is a really valuable asset for these restauranteurs who really want to build more regular customers and have that direct relationship. That is also true for the Storefront products, which is less about in-room dining or in-store dining and much more about the takeaway product. But especially as we expand kind of the merchant cohort in which SevenRooms currently addresses, SevenRooms is kind of serving the higher end kind of cohort of restaurants. But as we simplify the features to be able to address a larger segment, that's where Storefront and SevenRooms really can team up to both serve a restaurant's 4-wall business as well as their business outside their premise. Your second question on the timing of the tech stack. Look, I wish that the tech stack were already here. But the truth is you'll see a majority of the tech stack work completed this year. That's at least my expectation. And I think with respect to the benefits, you don't have to wait all at once. In fact, we're already seeing benefits from the work we're doing with the global tech stack in all of our different geographies in which we're shipping features from one market that are working into a different market. So that's already happening. That's in fact, one way in which you can test whether or not the value of the tech stack actually has any positive value to customers. And so we're seeing that. But yes, we expect the majority of the work to be done this year.
Operator: Your next question comes from the line of Ken Gawrelski with Wells Fargo.
Kenneth Gawrelski: Two, if I may, please. First, could you provide some color on what you see in the cohort data that gives you the confidence in continued robust core U.S. restaurant growth. Anything you might share on how later adopters behave differently than the base? And the second question, I just want to touch one more maybe on where Ross was going. As we look to '27, I know it's really early to speak about '27, and we appreciate the color on the '26 quarters. But any way -- any early take you could give us on the balance between investments and margins beyond '26. Any early thoughts on how you view incremental margins beyond '26 versus maybe historical?
Ravi Inukonda: Sure. Again, I'll take the first one too. Look, I mean, when I look at the performance of the U.S. restaurant digital, like I said in the earlier question, I mean, '25 grew faster than '24 at a larger scale. I should tell you the health of the underlying cohorts. MAUs continue to be quite strong. In fact, we hit an all-time high in terms of MAUs and order frequency continues to be quite strong. When I look at the engagement of new consumers that still join, I mean, that continues to be quite strong. And the other thing that you're seeing is, I mean, subscription continues to be a big driver of growth for us, both Q4 as well as '25, we added a record number of subscribers. What you're seeing in the business is as the product continues to get better, there's more people that habituate, they graduate towards subscription. Subscription, they retain more, they order more as well as they try new categories. So overall, when I look at the mature cohorts as well as the newer cohorts, the engagement level in the U.S. business continues to be strong, not just across restaurants, but even our new verticals business. And I think your second question, Ken was just sort of incremental margins. Look, I mean we're not guiding the business towards incremental margins. We're not operating the business towards incremental margins. Our focus has always been on overall profit dollar production. But just to frame your thinking in terms of overall tech stack and what the impact there is. Look, there's a couple of costs in there. One is some redundancy in cost as we try to run both tech stacks in parallel. Majority of that spend will be in '26, some will be in '27. But that will come off. And you should expect that to be a smaller component. But biggest value driver for us like we touched on earlier, is going to be velocity of feature development, you're going to become more efficient as developers work on the same tech stack across all 3 platforms. And you should see the impact of that from an underlying cohort perspective as well as overall growth in the business.
Operator: Your next question comes from the line of Bernie McTernan with Needham.
Bernard McTernan: Just wanted to follow up on the discussion on AVs. Do you think the use case for delivery AVs will be broader than robotaxis and mobility, meaning that at least for the foreseeable future, robotaxis are expected only to be in dense cities. Is there a use case for delivery AVs in the suburbs. And then as we're asking follow-up questions on the financial guidance, in the press release talked about EBITDA a lot higher in the second half of the year. I would say that's probably typical to normal seasonal trends that we see within the business. Just any additional color you could provide would be helpful.
Tony Xu: Yes. Bernie, it's Tony. I'll take the first question on AVs. I mean the short answer is absolutely. Yes, of course, we think that the delivery vehicles will be able to address both suburbs and city centers. In fact, if you look at actually Dot, it was constructed in a purposeful way to actually serve many of the suburbs. And that's true in its form factor, that's true in how we think about integrating it into the autonomous delivery platform in terms of which assignments it ought to receive versus which assignments it should not receive. That's also true for all of our projects for our drone projects, too, which cover, I would say, even beyond suburbs, but even more rural regions where the distances traveled are much farther and you can go a lot faster in the air sometimes than you can go on land.
Ravi Inukonda: Bernie, on your second question, I mean, look, what I'll say is my expectation, like I said, for the full year has not changed compared to the last call. I expect the full year margin to be up slightly compared to '25, excluding ROO and ROO to be about $200 million. You're also right. Look, the shape of the curve for us for EBITDA has always been -- second half is higher than the first half. That's naturally how our business works. It's purely math, right? The volume grows through the year, unit economics grow. You put those 2 together, you'll have more gross profit dollars as you go through the year, which means second half will be higher than first half. We have delivered on that in '23, '24, '25, and '26 is going to be no different. There are a couple of things which are different. One is investment in ROO. Some of it is front loaded. Like I said, it impacts Q1. I would expect the ROO EBITDA to increase as you go through the rest of the year. The second one that we are seeing in the business is when I look at the pace of expansion of profitability for both our new verticals and international business ex ROO that will increase or the pace of expansion is higher than in previous years. Especially as I expect new verticals to be gross profit positive in the second half and international ex ROO to be contribution profit positive in the second half. So you put all this together, that's what's giving rise to the shape of EBITDA curve where second half is going to be higher than the first half EBITDA.
Operator: Your next question comes from the line of Andrew Boone with Citizens Bank.
Andrew Boone: Ravi, I wanted to stay on costs and the intensity of investments. If I look at R&D and G&A, it's 211 basis points of GOV. We've talked about kind of that 2% target historically. Should we expect GOV to kind of grow when we just grow into this higher fixed cost? Or how do we think about the fixed cost component of the business on a go-forward basis? And then going to grocery, is there any detail that you can provide us in terms of the graduation of customers into the Sunday Shop. Can you talk about just the evolution of customers and whether you're starting to capture larger baskets?
Ravi Inukonda: Yes, Andrew, I'll take the first one, right. Look, when I look at OpEx in Q4, I think that's probably what you're asking about as well. There's inclusion of ROO. So you should take that into consideration. When I look at 2026, I would expect OpEx to be roughly about 2% of GOV that we talked about. Look, we're being very disciplined. We're investing in areas where we're improving the product to ultimately drive both scale as well as profitability. You're seeing that in terms of the overall growth as well as the profit dollar production. Look, I mean, our goal is to continue to generate leverage, right. Like OpEx, I think of it as cost of doing business, and our goal is to continue to generate leverage on it just like any other part of the P&L.
Tony Xu: Andrew, on the second question with respect to grocery, yes, is the short answer. We are seeing the evolution of customer behavior both now incorporating kind of the middle of the week run, which is kind of how DoorDash started 5 years ago in the grocery category to now the larger baskets that happen on the weekends here in the U.S. In other parts of the world, it has a slightly different behavior, but we do see both behaviors now where people use us for both kind of the quick runs as well as the stock-up use cases. You see this, in fact, happening faster and faster with each successive cohort and you see each existing cohort actually increasing their spend and their overall share of wallet when it comes to grocery with us.
Operator: Your next question comes from the line of Lloyd Walmsley with Mizuho.
Lloyd Walmsley: Was just wondering if beyond the first quarter guidance you can help us with just how to think about a framework for GOV growth for the balance of the year. I appreciate the comments on the EBITDA cadence, but anything you can help us out with on GOV growth?
Ravi Inukonda: Yes. Look, I mean, I think a couple of things, right? Like one, growth in the business continues to be quite strong. And we are seeing that from both existing consumers as well as new consumers where MAU growth continues to be strong, order frequency continues to be strong. Like I said in one of the earlier questions, I mean, DashPass had a record year as well as continues to drive overall growth. For us, the way I think about it is as long as we are continuing to improve the product, the underlying cohorts are responding, as you can see from engagement as well as sort of retention and for us, I feel pretty good about the overall growth, not just in Q1 but for the rest of the year as well.
Operator: Your next question comes from the line of Lee Horowitz with Deutsche Bank.
Lee Horowitz: Maybe building on an earlier one. 2026 is obviously a big year for investments in sort of the software and services stack for [ your merchants ]. I guess looking beyond this year, where do you see sort of the natural adjacencies that you can build on top of once you've sort of rolled out this new software service stack for your merchants that will drive more value to both your merchants and the consumers in the coming years.
Tony Xu: Lee, I can start. I mean, the short version of this is -- I mean '26 in many ways, is like a setup year of building like a new company that is now a global company operating in 40-plus geographies around the world. But doing the same thing. We just have like different countries and different markets to consider and there are also at different maturities that when we've ship certain products, right? So there's a lot of different things. And I think a lot of the adjacencies to your question can be derived from what we're shipping at DoorDash, right? I mean -- so if you think about the different missions we have. One is we want to bring you everything inside the city. So a lot of the work is going beyond restaurants. I think we've certainly proven ourselves capable, at least in the categories of grocery, convenience and some of the early innings of other retail categories. So we've got a lot of work there to do. A big part of that has to do with also building fulfillment services in which we can forward deploy inventory on behalf of retailers. So that they can offer same-hour, same-day delivery and be competitive with other big companies. We also have to invest in autonomous technologies so that these companies can do it at the highest quality and the lowest cost. So that's one big mission in terms of how those adjacencies work. The second one is how do we actually build software such that these companies can be omnichannel businesses? We talked a little bit about this on this call where we talked about Storefront, SevenRooms. But there's also a DoorDash Drive and offering delivery as a service. There's other services that we ought to be building as you think about how a physical business must effectively adopt in order to become an end-to-end digital business. So we have a lot of merchant services work that we have to do. That's also connected to the third mission of actually driving in-store traffic to merchants, right? We're starting this with restaurants in the form of 2 products going out in which we're offering value to customers to discover new restaurants for casual dining. And we're also doing it in the form of access where we're offering reservations to some of the best restaurants that work with SevenRooms. And so I think the -- there's a ton of work there to do as well. So I think those are 3 big missions that will take us quite a long journey in terms of building the operating system for local commerce and connecting consumers and merchants in more ways than we currently do. And if we can do this across every geography in the way that makes the most sense for that geography, I think, it's a very exciting future for DoorDash.
Operator: Your next question comes from the line of Justin Patterson with KeyBanc.
Justin Patterson: On the ad side, it looks like you made some nice progress with Symbiosis. I'd love to hear more about how you're evolving the ad product this year and some of the key stats you're taking to capture more grocery and retail advertising dollars. And then separately, I know this is not related to replatforming, but we have seen a lot of companies see benefits from agentic coding. Curious how -- what type of efficiencies, if any, you're seeing from that and how that might fit with the broader replatforming initiatives?
Tony Xu: Yes. Justin, this is Tony. Yes, maybe I'll take both. On the question around Ads, our Ads business is growing really, really fast, and it's probably something I should have added in terms of just when I think about the record year that DoorDash had in 2025, Ads was a big part of it in terms of -- it's more of a derivative or an output in terms of the growth from our marketplace. But it really had a strong year. With respect to Symbiosis, I mean, it's, again, kind of similar to some of the other acquisitions that we've made. It's off to a great start. We see that we've doubled the number of advertisers for Symbiosis as well as tripled the spend from those advertisers. And so I think that's been kind of the performance kind of speaks for itself. And in terms of kind of the road map this year, I think there's a couple of things. One is just -- I think one of the things that there's a lot of obviously talk in the ecosystem about just agents and agentic commerce and things like this. But one of the biggest agents that actually we've shipped last year was really our Smart Campaigns product in which we are helping restaurants buy on their behalf, always ROI positive ad campaigns effectively. And I think that has been one of our fastest-growing products on the restaurant front. With respect to grocery and retail, Yes, we're definitely earlier to -- on that maturation. But I think that just means that there's a lot more opportunity and runway for us in that space because most of the focus on the ads business thus far has been on the restaurant side. With respect to kind of coding agents, I think, which is kind of the premise of your second question, this is a topic that is changing literally by the day, maybe by the week. It's been kind of astonishing and almost breathtaking how fast the coding is changing or has changed, is changing and likely will continue to change given the pace and trajectory that we're on. I mean we see 90-plus percent daily active usage, something like that across all of our engineers when it comes to these coding agents, which certainly has made them productive. The question now is like what is the right new environment for them to kind of keep up that sustained productivity gain. And so that's, I think, the world that we and many others are trying to figure out.
Operator: Your next question comes from the line of Justin Post with BofA.
Justin Post: In the release, you talked about unit economics of grocery retail going positive in the second half. What's enabling that? Is that scale? Or are you seeing new efficiencies on that front? And then thinking long term, how do you think about grocery retail bottom line profitability relative to U.S. restaurant?
Ravi Inukonda: Justin, I touched on this earlier. Look, I mean, overall, new verticals continues to be doing really well. The profitability side, we've made really good improvements on the unit economics. To me, there's nothing step function or one big thing that we have to go solve, is continued execution across improving logistics efficiency, improving the quality of the product. We talked about the fact that we're seeing basket sizes being bigger, both for existing as well as mature cohorts. Just continued execution, trying to find pockets of efficiency up and down the P&L, improve the product, which will ultimately get us to being gross profit positive in the second half of the year. Look, I mean, longer-term focus continues to be -- how do we get 30% of our MAUs that order from categories, set of restaurants to be closer to 100%. And if we're able to work on the product, if we make the quality of the product better, I think, this is going to be a large business, which will produce strong free cash flow for us over the long period of time.
Operator: Your next question comes from the line of Mark Mahaney with Evercore ISI.
Mark Stephen Mahaney: I was just going to ask 1 question on Deliveroo. You talked about how you accelerated the year-over-year growth in total orders for Deliveroo in the December quarter. That's faster than I would have expected. Was there -- just explain how you were able to do that? And just are there a lot of other things you see that make you think that you can continue to accelerate those orders?
Tony Xu: Yes. Mark, it's Tony. Look, the short answer is we just shipped improvements to the product. And there was no like one thing. And what I've learned about a lot of these businesses is -- it sounds really easy to bring you a burrito on time every time in the condition that you'd expect. It's actually another much more difficult thing to do it in practice. And it's just shipping a new thing every time we see a problem. And I think one of the great things was just how easy the partnership has been with the Deliveroo team. I mean I really commend our teams working together really well. And just again, shipping, executing to deliver against increasing customer expectations. We are not done. We have like a ton of work to do. Yes, we had a great kind of start, and I'm really proud of the team. On the flip side, I also see like a ton of opportunity where we have to ship even more things. And so most of it was like just shipping things that we know are broken to also adding things that we've seen work in other parts of our business. We just see a lot more of those opportunities in front of us.
Operator: Thank you, everyone. This concludes today's Q&A due to the time, and this also concludes today's call. Thank you for attending. You may now disconnect. Goodbye.